Operator: Hello, and welcome to the Janus International Third Quarter 2022 Earnings Conference Call. Currently, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to your host, Mr. John Rohlwing, Vice President of Investor Relations and FP&A. Thank you, Mr. Rohlwing. You may begin.
John Rohlwing: Thank you, operator, and thank you all for joining our third quarter 2022 earnings conference call. We hope that you have seen our earnings release issued this morning. Please note that we have also posted a presentation in support of this call, which can be found in the Investors section of our website at janusintl.com. As a reminder, today's conference call may include forward-looking statements, regarding the company's future plans and prospects. These statements are based on our current expectations and we undertake no duty to update them. It is important to note that the company's actual results may differ materially from those anticipated. Factors that could cause actual results to differ from anticipated results are contained in the company's latest earnings release and periodic filings with the Securities and Exchange Commission and we encourage you to review those factors carefully. In addition, we will be discussing or providing certain non-GAAP financial measures today, including adjusted EBITDA, adjusted EBITDA margin, adjusted net income, and adjusted EPS. Please see our earnings release filings for a reconciliation of these non-GAAP measures to their most directly comparable GAAP measures. I'm joined today by our Chief Executive Officer, Ramey Jackson, who will provide an overview of our business and give an operations update; and our Chief Financial Officer, Anselm Wong, who will continue with a discussion of our financial results and outlook before we open up the call to your questions. At this point, I will turn the call over to Ramey.
Ramey Jackson: Thank you, John. Good morning everyone. We delivered yet another quarter of outstanding results, as we continue to build on our momentum in 2022, especially encouraging is the fact that we achieved these results against the backdrop of significant economic uncertainty, which is a testament up to the fundamentals of our industry and the execution by our company. It also illustrates how our customers particularly in self-storage continue to enjoy high demand and business fundamentals that should drive a sustained period of investment to add new greenfield capacity, conversions or expansions within an industry and need of it. These results wouldn't be possible without the combined effort of all of our employees and I want to take a moment to personally thank them for their professionalism and hard work. Now, turning to some specific thoughts around the quarter. Janus once again produced outstanding operational and financial results that included record revenues, strong margin improvement, a meaningful decrease in leverage, and solid cash generation. The fundamentals inherent throughout the industry that I just described our fueling investment decisions by our customers, providing the strong tailwinds we enjoy today and expect to realize for years to come. There is a choice to add much needed capacity through conversions and expansions continue to power our restore, rebuild and replace business in addition to robust greenfield new construction activity benefiting that side of our business. The strong results for the quarter were also driven by our integration activities with respect to DBCI and ACT. The synergies from those two acquisitions are coming in above our initial expectations and at a faster pace. I'm proud of our integration team's effort to drive additional value from both, and I'm excited for how each expands our exposure to key end markets. Noke had another strong quarter, as the addition of ACT's high-quality, low-voltage installation and integration capabilities is helping us enhance our offerings there. Growth in Noke continues consistent with our expectations and we look forward to adding additional color on its performance, as it becomes a more meaningful portion of our results. Now, shifting to the financial highlights for the quarter. We delivered consolidated revenues of $263 million, an increase of approximately 40%, as compared to the same period a year or approximately 35% on an organic basis. The growth reflected strength in all of our sales channels with commercial and other once again leading the way and we continue to benefit from the contributions from the DBCI and ACT acquisitions, which contributed $8.7 million in the quarter. Our adjusted EBITDA of $63 million came in approximately 74% higher than Q3 of 2021, which represents an adjusted EBITDA margin of 24.1%, an improvement of 480 basis points year-over-year. During the quarter, commercial actions, cost-saving initiatives and volume growth had a significant impact, helping to offset higher costs we continue to experience in many parts of our business. Our company also continues to generate strong cash flows, which Anselm will discuss in further detail shortly. Year-to-date, our free cash flow conversion was 71% of adjusted net income. We expect cash conversion to remain solid over time, putting us in a strong position to focus on maintaining our leverage within our target range of 2.5 to 3.5 times adjusted EBITDA, while being flexible for value-enhancing opportunities. I want to expand on the point about leverage. I'm extremely proud that we've been able to achieve our target range less than 18 months after becoming a public company. Solid execution, strong underlying fundamentals and prudent uses of cash put us in the enviable position today where we can run the business with a healthy balance sheet while being able to analyze both organic and inorganic growth opportunities. Our end markets remain strong and resilient. We look to leverage our leading market position to capture additional share and create long-term value for all stakeholders. All of this has resulted in an increased outlook for revenue and EBITDA in 2022. With that, I'll turn the call over to Anselm, for an overview of the financials and updated outlook for the full year.
Anselm Wong: Thanks Ramey, and good morning, everyone. In the third quarter, revenue of $262.5 million was up 39.8% compared to the prior year quarter and 35.2% on an organic basis, driven once again by solid execution in all three of our sales channels. Commercial and Other, was up 58.3%, R3 is at 49.1% and new construction was up 13.8% versus the prior year quarter. The impressive 58.3% growth from our Commercial and Other segment, demonstrates another strong quarter of market gains that were driven by the growing need among the many end markets at this sales channel services. It also was driven by continued share gains in both the commercial sheet roll-up door market and in our ASTA rolling steel door segment's product line and benefit from continued synergy realization from DBCI. R3 growth of 49.1% in the quarter continues to be bolstered by new capacity additions in the form of conversions and expansions. The focus of new capacity additions remains weighted towards our R3 offerings as opposed to greenfield new construction sites, driven by the available brick-and-mortar retail capacity to our customers. We continue to see growth in new construction, albeit at lower pace than commercial and R3, as pent-up demand caused by permitting and other construction delays that occurred in pandemic impact 2021 continues to flow through to our results. On a consolidated basis our revenue growth continues to reflect improved demand across all our end markets, commercial actions taken to address inflationary pressures contributions from the DBCI and ACT acquisitions and synergy realizations from those acquisitions occurring ahead of expectations. Adjusted EBITDA of $63.3 million was up 74.3% compared to the year ago quarter. Higher revenue from a mix of price and volume was the primary driver of EBITDA growth, partially offset by higher year-over-year cost of sales. Higher raw material costs as compared to 3Q last year continued for steel labor and logistics. The combination of solid demand, commercial actions, cost savings initiatives and acquisition synergies, is expected to help offset continued high labor and logistics costs and keep us closer to the margin profile we view as more representative of our business. Adjusted EBITDA margin for the quarter was 24.1%, an increase of 480 basis points from the year ago quarter despite the inflationary impacts of raw material labor and logistics. Since the fourth quarter of last year, we have worked through all of our legacy price contracts and our contracts going forward are designed to much more closely match moves in our input costs by design eliminating prolonged legs and cost recovery in times of high inflationary impacts. These steps along with the progress we are making in seeding our expectations for DBCI and ACT synergies are all positive signs of how our strategy to grow the business and improve margins is working. For the third quarter of 2022, we've reduced adjusted net income of $32.3 million, which was up 111.4% from third quarter 2021. Adjusted net income was favorably impacted by higher revenue during the quarter, offset somewhat by an increase in SG&A expense. Adjusted diluted earnings per share of $0.22 compared to $0.11 in the year ago quarter. We had another solid quarter of cash flow generation. Third quarter cash from operating activities was approximately $19.4 million and free cash flow was approximately $16.8 million. This represented a 52% free cash flow conversion of net income for the quarter and 71% year-to-date, adding to our multiyear trend of strong conversion of adjusted net income to cash. Continued investment in working capital was the primary driver of the lower than typical rate of net income conversion to free cash flow. We expect to return to more typical levels of free cash flow conversion of net income in the coming quarters. From a balance sheet perspective, we closed the quarter with $709.6 million of total debt, $55.3 million of cash and equivalents and a net leverage of 3.3 times net debt to adjusted trailing 12 months EBITDA, down from 3.9 times at the end of the second quarter. Our performance continues to demonstrate our ability to delever quickly. We are now focused on maintaining our leverage within our targeted range of 2.5 to 3.5 times. Turning to our outlook. I'm pleased to announce that based on our solid year-to-date results, continued strong backlog and our current visibility of end markets, we are raising our full year 2022 outlook for revenue and adjusted EBITDA. Revenue is now expected to be in the range of $990 million to $1.01 billion, up from the range of $940 million to $960 million previously. At the midpoint this represents a 33. 3% increase compared to full year 2021 results, driven primarily by a combination of commercial actions and volume-related organic growth and the full year additions of DBCI and ACT. We expect growth in the fourth quarter to reflect the strong underlying fundamentals we see across all three sales channels. We now expect adjusted EBITDA to be in the range of $218 million to $225 million, up from the previous range of $204 million to $211 million. At the midpoint, this represents a 49.5% increase versus the full year 2021 results. We expect adjusted EBITDA margins in the fourth quarter, to be in line to slightly higher sequentially, from the third quarter, resulting in a solid year of margin improvement in our business. Thank you. I will now turn the call back to Ramey for closing remarks. 
Ramey Jackson: Great. Thank you again, Anselm. Our results continue to reflect the power of the Janus platform, as we execute well in the early innings of what we believe is a strong multiyear demand environment. We delivered record revenues achieved significant recovery in EBITDA margins, realized acquisition synergies ahead of schedule and attained our leverage targets ahead of schedule. These results are a testament to the execution by our team and the strength in our end markets. I expect we will build on this momentum as we look to deliver strong margin performance and earnings growth over the long term. Thank you again for joining us. Operator, we can now open the lines up for Q&A please. 
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Jeffrey Hammond with KeyBanc Capital Markets. Please proceed.
David Tarantino: Hey, good morning, everyone. This is David Tarantino on for Jeff.
Ramey Jackson: Hey, David.
Anselm Wong: Hey, David.
David Tarantino: Could you maybe give us a little bit more color on margins both in the third quarter and what's implied to guidance? Maybe just kind of splitting out the moving pieces between price realization volume, and it sounds like there's also some benefits from the integration of DBCI and ACT?
Anselm Wong: Sure it's great question. And if you look at our margins as we have discussed, previously we expected a step-up from Q3. And if you look at what happened this quarter ballpark, it breaks out to about 80% of the increase was due to price about 10% with inorganic and about the balance of 10% was organic growth from the margin.
David Tarantino: Okay. Great. And then maybe just flipping to commercial performance as of late has been really impressive. Maybe could you give your thoughts on how sustainable both kind of the growth and the share gains can be? 
Ramey Jackson: Yeah, great question. This is Ramey. Look, I think we continue to outperform in that business segment. I think it's proven that our products not only our products, but our services to our new customers are sticky. So, we're retaining those accounts. But what's interesting and what we're finding out is a lot of those sales are kind of geared kind of multi-end usage, right? So, different markets that they're servicing and more geared to R&R. So, less or more of a specification new construction type of sale, it's more of a replacement. So, it's a good question on sustainability. We certainly didn't expect or forecast this type of growth, but we're going to do everything we can to, to retain these customers.
David Tarantino: Great. Thanks, guys.
Ramey Jackson: Thank you.
Operator: Our next question comes from the line of Reuben Garner with The Benchmark Company. Please proceed.
Reuben Garner: Thank you. Good morning, everybody.
Ramey Jackson: Good morning, Reuben.
Reuben Garner: So the progression you just gave for margin from Q2 to Q3, can you talk about what's kind of implied in the guidance in the fourth quarter? And where we're going to exit the year from a gross and an EBITDA margin standpoint? Are those – is the right way to think about that that's the base for next year? And any volume growth or declines would drive increases or decreases in that margin for next year, or is there seasonality to the margin? Just talk about the progression.
Anselm Wong: No, it's a great way to put it. So thanks for the question. So our expectation is implied is that what you saw in Q3 is what you'll see again in Q4. And it's a good way to think about what's the step-off point or into – going into next year. I think, at the same time, I just want to remind us that it's still an uncertain market and there's still other costs they're managing. And hopefully, as we roll into the New Year, we'll actually start seeing some of the lower steel prices that we said that we'd probably start seeing in Q1. But that's kind of how you should think about it.
Reuben Garner: Okay. So in other words, there could be upside as the steel costs come down, if you're able to hold the pricing initiatives that you've had?
Anselm Wong: Exactly. But I think as we said prior calls, we'll be competitive in the market where we need to be. So, it's just a balance that we're looking at. But I think that's kind of how should think about it.
Reuben Garner: Okay. Great. And then the self-storage market in general, as you're having conversations with your customers in the last few months any thoughts on how they're thinking about next year from an investment standpoint on their end? Obviously, a lot of eyes on housing and mortgage rates and that sort of thing, any changes to the trajectory in that business?
Ramey Jackson: Look I think things are getting back to kind of normalization from a seasonality perspective. But the actual drivers are still tremendously robust. When you think about the pandemic and some additional drivers that were created with kind of work-from-home, decluttering and then also commercial warehouse space is more expensive and we're starting to see a lot more commercial tenant usage. So that's certainly -- and that's at the backdrop of kind of the housing market, right? So I guess the question is how meaningful are those additional drivers and how will they impact long-term sustainability. But everything seems to be robust. As you know Reuben, in terms of our design services we have great visibility. And a year or two in advance and all of those kind of leading indicators still remain robust and strong, notwithstanding kind of the overall kind of global economy. We're certainly conscientious of that as well. But from our perspective things seem very, very kind of robust and moving forward we're very optimistic.
Reuben Garner: Great. Thanks. Congrats on the results and good luck going forward.
Ramey Jackson: Thank you.
Anselm Wong: Thank you.
Operator: Our next question comes from the line of Daniel Moore with CJS Securities. Please proceed.
Daniel Moore: Good morning. Congrats on the really strong results. Thanks for taking question, Ramey and Anselm. Just getting to piggybacking on the demand question any meaningful differences or change in demand construction and R3 by region, as we kind of think about looking at the different regions across the US. And then what are you seeing internationally as well?
Ramey Jackson: Yeah. Great question. I think when you look at the demand this is more around kind of pandemic-driven. You're seeing a lot more capacity being brought online in the suburban kind of tertiary markets. That's kind of new construction and conversions. But when you think about in the top MSAs we're seeing a tremendous amount of our R3 work being deployed through M&A and then also just old facilities being upgraded to remain competitive. And so that's kind of what we're seeing with new demand capacity, as it moves around the country. And then as it relates to international, obviously Europe is a mess right now that we're still very optimistic around kind of the end market, as it relates to self-storage. Again, our pipelines -- or I'm sorry our early indicators are still telling us there's a tremendous amount of demand and pickup there. So we're very encouraged by our early indicators in terms of what we see to drive the business.
Daniel Moore: Very helpful. And then -- just a couple of housekeeping things. Just kind of your blended interest rate where we sit today at exiting the quarter in borrowing capacity as leverage continues to take lower?
Anselm Wong: Yeah. Thanks, Dan. I think as you saw our leverage, we again delevered 0.6 down to 3.3 range. And I think if you look at the cash balance again improved as well to 55 million range. In terms of the blending industry, as you know we have a floating rate and I believe the kind of the end rate was approximately in that 6% range that we got. I think from an affordability management point of view, I think still that we're in a range that makes sense for us to manage. And at the current time, I'm cognizant of the continuous interest rates increase or we're looking at all options in terms of what we do and the good thing is that we're in a good position with the strong cash flow that we're generating.
Daniel Moore: No question, you did seem to indicate that with being now comfortably below the high-end of your target range, you start to look a little bit just more in terms of M&A in addition to internal investment, or would you kind of lean on maybe paying down debt a little bit faster in a continuously rising rate environment?
Anselm Wong: Sure. Yeah, we're definitely always on the look out for what's the right capital allocation decision. I think all options are on the table that we look at including the ones you mentioned there. I think Ramey can kind of give it a bit more further, but I think everything is on the table as us that we look at.
Ramey Jackson: Yeah. As you know, M&A is very important to us. It's a part of who we are and puts us to where we are today. So we're certainly being opportunistic there and looking at opportunities and it feels like there will be some good opportunities as it relates to valuations moving forward. So -- but like Anselm said, it's really about optionality and enjoying that.
Daniel Moore: All right. Last for me and I'll jump out. But maybe this is a little bit high level, but this morning notwithstanding nice to see the recovery, but your shares of some of your customers publicly traded REITs. We're closer to 52-week lows, at least as of the last few days. Maybe just talk about what investors are missing, not necessarily for self-storage story, but the Janus story and how it may be a little bit differentiated from some of those -- some of your customers that you kind of get paid with the same brush? Thanks.
Ramey Jackson: Yeah. That's a very good question, Dan. I appreciate it. So I think the best way to answer that is you can look at the diversity of our platform. So we're not 100% tied to new construction. We have -- our growth drivers that are around kind of Noke smart entry commercial than R3, right? And typically, when we've seen self-storage, new construction slowdown, we've seen a tremendous investment into existing portfolios. One of the listed customers that is one of our top accounts announced a $1 billion kind of capital allocation towards redevelopment. And while that's music to our ears is, it's 100% R3, opportunity for us. So I think it's a testament to the diversity of the platform and then notwithstanding, the commercial aspect as well. We continue to make meaningful market share gains in that segment. And then, also the Nokē Smart Entry it's – again, it's not a big part of our revenue today but it's growing. We're very happy with the progress that we've been able to achieve and see again a greater opportunity in terms of it becoming more a meaningful part of our revenue. So I think that's kind of the difference between, the service provider into the industry as opposed to the kind of end market so to speak.
Daniel Moore: Thanks again for color. I appreciate it.
Ramey Jackson: Yeah. Thanks, Dan.
Anselm Wong: Thank you.
Operator: Our next question comes from the line of Stanley Elliott with Stifel. Please proceed.
Stanley Elliott: Hi. Good morning, everybody. Thank you, guys for taking the question. You mentioned Noke still being small. I mean what are some of the things you're doing? Or what are you hearing from some of the tests that are out there in the marketplace maybe some of the other things you're doing to position us to grow. And let's start to get more traction? I mean how quickly can this ramp up do you think?
Ramey Jackson: Yeah. Great question, look, in terms of its growth it's on par with our expectations at the moment. What we're doing in terms of the customer experience is the ACT acquisition is allowing us from an installation perspective to really get it right. They're low voltage professionals and we're in the process of scaling that out for the future growth that we're expecting. In terms of outsized growth we certainly know it's going to happen. We're working with the largest operators in the business to see how that kind of integrates into their platforms. And so we're optimistic around that as well. And keep in mind, Stanley it's really just a baseline opportunity to expand right? So once we get in with the Noke Smart Entry there's a lot of opportunity for other sensors, and so it's really from our perspective just the baseline opportunity that can accelerate in a meaningful way.
Stanley Elliott: And Ramey, you mentioned your good backlog good visibility. Could you remind us a little bit how far does this backlog extend? Just curious, kind of what sort of visibility you have here?
Ramey Jackson: Yeah. Our design pipeline looks from a year or two in advance, right? So we're doing a lot of the design work before construction even starts and we're doing a lot of design work on projects that may not even go. So we have great visibility there. And as it relates to our kind of backlog and new construction it's around a year burn rate on our backlog. So again, from our perspective very good visibility into what's coming in the next 12 months.
Stanley Elliott: Perfect guys. Thanks for your time and congratulations and best of luck.
Ramey Jackson: Thank you.
Anselm Wong: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of John Lovallo with UBS. Please proceed.
John Lovallo: Good morning guys. Thanks for taking my questions. The first one is if I remember correctly, the fourth quarter of 2021 had some pull forward in new construction. I was hoping you could quantify what that is? And maybe adjusting for that would you expect organic revenue growth in the fourth quarter?
Ramey Jackson: I guess I can hit on Q4 of last year. That really was kind of pandemic related as it relates to permitting and things of that nature. I think that's normalized as it relates to new construction flowing through our backlog and we expect more normalized kind of growth rates in new construction moving forward.
John Lovallo: Got you. Okay. And then, Ramey, you touched on this before but this kind of cross currents with the macro deteriorating but self-storage industry in a good spot. How do you kind of think about those dynamics as we move into next year from an organic revenue perspective?
Ramey Jackson: Yeah, great question. Again, let's just assume there's normalization in new construction with the R3 momentum and the age of the self-storage asset class there is meaningful opportunity and a drive towards bringing older facilities up to today's standards to be competitive. And also look at the technology upgrade opportunity is meaningful as well. So from my perspective when you look at our growth drivers on the platform it's -- I see a very robust outlook.
John Lovallo: Got it. Thanks guys.
Ramey Jackson: Thanks John.
Anselm Wong: Thanks.
Operator: Thank you. This concludes the question-and-answer session. I would like to turn the call back to Ramey Jackson for closing remarks.
Ramey Jackson: Thank you everyone for joining us today. We appreciate your support of Janus International and look forward to updating you on our progress. Have a great day.
Operator: Thank you. This concludes today's conference. You may now disconnect. Thank you for your participation.